Operator: Good morning. My name is Victoria and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Lancaster Colony Corporation Fiscal Year 2015 Third Quarter Conference Call. Conducting today’s call will be Jay Gerlach, Lancaster Colony Chairman and CEO and Doug Fell, Vice President, Treasurer and CFO. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. [Operator Instructions] Thank you. And now to begin the conference call here is Dale Ganobsik, Director of Investor Relations for Lancaster Colony Corporation.
Dale Ganobsik: Thank you, Victoria. Good morning, everyone and thank you for joining us today for Lancaster Colony’s fiscal 2015 third quarter conference call. Let me begin by reminding everyone that our discussion this morning may include forward-looking statements, which are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are subject to a number of risks and uncertainties that could cause actual results to differ materially and the company undertakes no obligation to update these statements based on subsequent events. A detailed discussion of these risks and uncertainties is contained in the company’s filings with the SEC. Also note that the audio replay of this call will be archived and available at our company’s website, lancastercolony.com, later this afternoon. With that said, I will now turn the call over to Lancaster Colony’s Chairman and CEO, Jay Gerlach. Jay?
Jay Gerlach: Thanks, Dale. Good morning and thank you for joining us. We are pleased to report strong third quarter sales growth of 8.9%, including the benefit of about $2 million from our recent Flatout acquisition. Earnings per share reached $0.75 versus $0.69 from continuing operations last year. Near the end of the quarter, we completed the acquisition of Flatout, a Saline, Michigan-based producer of flatbreads founded 16 years ago by Stacey and Mike Marsh. We are pleased they are continuing with the business. With annual sales in calendar 2014 of approximately $46 million, we feel there is continued opportunity for growth from expanded distribution, enhanced in-store merchandising and further product innovation. We expect modest cost synergies mostly in the SG&A expense area with growth from this on-trend better-for-you product being the real benefit. We expect operating margins to be generally in line with our overall segment margin. Deal expenses of almost $1 million in the quarter resulted in no bottom line benefit from Flatout. We expect additional acquisition-related costs in our fourth quarter in the upper six-figure range. Our third quarter this year benefited from Easter shipments, which were more in the fourth quarter last year, helping our retail channel sales to increase 14%. New York Brand croutons and salad toppings and frozen garlic breads, along with Olive Garden shelf-stable dressings also helped drive strong retail sales growth. Our foodservice channel sales grew about 4%, resulting in a mix shift to retail in the quarter of about 50.2% retail versus 48% last year. Pricing was a bit favorable in the quarter in the mid 6 figure range and we move to – as we move to pass through higher dairy costs for certain retail items, along with material and freight costs to our national account customers. Volume mix was the primary growth driver. Looking at retail sell-through as measured by IRI for the 12 weeks ended March 22, we saw growth in four of our five key categories, picking up share in three. Our Sister Schubert’s frozen dinner rolls were the one category showing negative sales comparisons. We continued our category leadership in all five categories. We are pleased with the initial contribution of new product sales in our New York Brand, including our New York Brand Soft Pull Apart rolls and New York and Marzetti Brand croutons and salad toppings. Our Presto Pasta introduction on the other hand has not met expectations. Segment operating income for the quarter reached $34.2 million, up from $31.4 million last year with operating margin being down 2 basis points to 12.97%. While we are seeing benefit from our recently completed dressing capacity project, it is not developing as fast or to the degree we anticipated. We expect to see further progress as we move through the fourth quarter. Ingredient costs in the quarter were modestly favorable and freight costs continued to show unfavorable comparisons. I would now like Doug Fell to make a few comments.
Doug Fell: Thank you, Jay. In general, many of the line items within our balance sheet as of March 31 were affected by the acquisition of Flatout Holdings on March 13. I will comment on some of the larger line items. Turning first to our accounts receivable, these increased modestly from the June level with $2.6 million of the increase due to the Flatout acquisition and most of the remaining increase due to the seasonal sales volumes relating to Sister Schubert’s as Easter shipments shifted into Q3 for the current year. We continue to see our overall agings remain solid. With respect to our inventories that totaled nearly $72 million at March 31, we saw a decrease of 3% since June. While the increase relating to the Flatout acquisition was modest at $3.6 million, strong seasonal sales related to Sister Schubert’s, coupled with improved sales volumes in several retail product lines, drove the overall decline. In general, the networking capital needs of Flatout are proportionally similar to those of our existing business. The Flatout acquisition contributed roughly $7 million in fixed assets as adjusted to the fair market value. Adjusting for this transaction, the net balance of property, plant and equipment remain comparable to the June total as our year-to-date capital expenditures of nearly $15.8 million were largely offset by depreciation expense of $13.7 million. As mentioned in our past calls, the largest capital expenditure this fiscal year related to our capacity expansion project at our Kentucky facility. With respect to other assets, the large increase since June 30 reflects our preliminary estimates of the identifiable intangible assets and goodwill associated with the Flatout acquisition. With respect to our balance sheet capitalization, we continue to have no debt and over $569 million in total shareholders’ equity. In light of the use of $92 million in cash to fund the Flatout acquisition, we ended the quarter with over $161 million in cash and equivalents as we continue to benefit from strong operating cash flows. Given our balance sheet posture, we continue to possess considerable flexibility to address foreseeable cash requirements, including the support of our future organic growth initiatives, acquisition opportunities, continued dividends and share repurchases. Finally, our current quarter and year-to-date effective tax rate of approximately 34% remain consistent with that of the prior periods and consistent with the guidance we previously provided for fiscal ‘15. Thanks again for your participation with us this morning. And I will now turn the call back over to Jay for our concluding comments.
Jay Gerlach: Thanks Doug. We would begin our fourth quarter with the momentum of sales and earnings growth in the third quarter and the addition of the Flatout acquisition. We see our food service channel whose demand seems to be trending stronger, while our retail channel sales have the headwind of no Easter benefit versus last year, we are optimistic for continued growth, including the categories that stood out in the third quarter. New product introductions just hitting the market include our New York Brand salad kickers, New York Brand snack sticks, Simply Dressed Sriracha Ranch and avocado ranch dressings, Marzetti brand sriracha Veggie Dip and Flatout recent additions including Gluten Free and ProteinUp flatbreads. We anticipate ingredient cost being a bit favorable this quarter and some benefit from our added dressing capacity. Our favorable material costs for the fourth quarter are tempered by a possible sizable outbreak of avian influenza within the U.S. laying flocks and its unknown impacts on the price of our egg-based ingredients. Higher freight costs are expected to continue and we will make efforts to pass on those costs in the form of higher pricing as timely as possible. Capital investment is expected to be about $18 million to $20 million for the full year. Looking ahead, we are developing our capital and other plans for fiscal ‘16 to deliver improvement in our gross margin with much emphasis being placed in this area. We continue to search for acquisition opportunities including products sold in the deli where Flatout has given us a stronger presence. That concludes our prepared remarks this morning. Victoria, we are ready for questions.
Operator: [Operator Instructions] Your first question comes from the line of Frank Camma with Sidoti.
Frank Camma: Good morning, guys. How are you doing?
Jay Gerlach: Doing well.
Doug Fell: Doing fine, Frank. Thank you.
Frank Camma: Good, good. Hey, just one quick housekeeping question and some other things. So, if you were to strip out the acquisition costs, I am calculating that after-tax added another $0.02, is that correct? I was just wondering, did you purposely not – you didn’t give an adjusted number, is that correct?
Jay Gerlach: No, we did not. You are probably in the ballpark, but don’t have an exact number to give you there.
Frank Camma: Okay, that’s alright. I am just trying to get an apples-to-apples number. On the other thing, you talked about commodity cost of being favorable and at the end you talked about the flu outbreak being a possible negative. Can you just remind us kind of where you are seeing the favorability? Is it in the soybean oil outside right now?
Jay Gerlach: It is particularly in soybean oil and dairy looks like it’s going to get a little bit more favorable as well, but primarily soybean oil at this point.
Frank Camma: Okay. So, the eggs are really the only thing that you see a possible exposure on at this point?
Jay Gerlach: Well, as far as maybe an unexpected and significant change, yes, we are probably seeing a lot of uptick over what had been some declining prices over the last 12 to 18 months in a variety of other ingredients. So, we have anniversaried a number of those and we are seeing some modest inches to the upside, but the significant one we are at least thinking about today is on the eggs side.
Frank Camma: Okay. And finally, just if you can remind us, obviously, we have been talking about the improvements you have been making in the – on the dressing side for capacity, which is going to help productivity there. Can you just remind us like how long we could expect that to kind of play out in the future as far as affecting your margins?
Jay Gerlach: Well, we are hoping that as we work through the fourth quarter. So, in essence, by the end of the fourth quarter that we have executed on the benefits we will see out of that capacity expansion. And it revolves a lot around getting our production realigned in the proper plants, on the proper lines as we put this capacity in place and that’s just taken a little longer than we have anticipated.
Frank Camma: Okay, great. Thank you.
Jay Gerlach: You are welcome, Frank.
Operator: [Operator Instructions] And there are currently no further questions. I would like to turn the call back over to Mr. Gerlach for any concluding remarks.
Jay Gerlach: Well, we thank you for joining us this morning. Should you have additional questions, don’t hesitate to check in with us. We would be happy to respond. So, we look forward to talking to you in August with our fourth quarter and full year results.
Operator: Again, thank you for your participation. This concludes today’s call. You may now disconnect.